Operator: Good morning, my name is Christa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Dundee Precious Metals' Second Quarter 2017 Results Webcast and Conference Call. All lines have been placed on mute to prevent background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] Thank you, Ms. Reid you may begin your conference.
Janet Reid: Good morning, everyone. I am Janet Reid, the Manager of Investor Relations and welcome to Dundee Precious Metals second quarter conference call. With me today are Rick Howes, President and CEO; and Hume Kyle, Chief Financial Officer, who will each comment on the quarter, as well as David Rae, our Chief Operating Officer; Nikolay Hristov, SVP, Sustainable Development; and John Lindsay, SVP of Projects they are here today to assist with answering questions following our formal remarks. After close of business yesterday, we released our second quarter results and hope you had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgments and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that operational and financial information communicated during this call has generally been rounded and is in U.S. dollars unless otherwise noted and references for 2016 or prior period retains the comparable period in 2016. On this morning's call, Rick will comment on our second quarter operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our second quarter financial results and our guidance for 2017. With that, I will turn the call over to Rick.
Rick Howes: Thanks Janet, and hello everyone, and thanks for joining us today for our second quarter 2017 conference call. I am pleased to provide you with an update of our second quarter 2017 results and progress on our key projects and initiatives. We had strong second quarter performance for both Chelopech and Tsumeb resulting in adjusted EBITDA for the quarter of $31 million. In addition there was good progress made in advancing our Krumovgrad project with first production still expected to be in Q4, 2018. We also saw encouraging exploration results on our Timok gold project in Serbia. In the second quarter, spot gold price ended up relatively flat on the quarter up 8% year-to-date to the end of June. Gold prices have remained range bound between $1120 and $1300 since the USA election. The downward pressure on gold prices is coming mainly from the U.S. dollar strength and real interest rate increases. The positive influence on gold are primarily coming from U.S. dollar weakness and safe haven buying due to geopolitical risks and uncertainties. The spot copper price is up 7% year-to-date for the end of June and has continued to strengthen in July. Recent price strength is attributed to U.S. dollar weakness linked to Trump's inability to deliver on promises and weaker economic data supply disruptions and the recent positive sentiment on China. Gold and base metal equities remain relatively flat year-to-date till the end of June however with recent strong move in base metals particularly copper, base metals equities are now up 10% in July. We achieved solid gold production in the quarter of 53,474 ounces and copper production of £8.6 million. 2017 guidance for gold production has increased to reflect the strong first half performance. The all-in sustaining cost per ounce of gold in the second quarter was $707 again well below our full year guidance range of 840 to 965. Therefore we have lowered our cost guidance range as well. We smelted 60,643 tons of copper concentrate in the second quarter putting us on track to achieve the high end of full year guidance. We exit the quarter with no debt, $20 million in cash and $40 million investment portfolio and $275 million undrawn credit facility. The smelter performance continues to improve as we reduced variation and increased capability and stability of the hot metal section. Despite the large off-season plant being offline for 18 days in April which restricted smelting capacity over that period, smelting rates were above target for the quarter. We anticipate smelting rates will continue to improve in the second half now that the Ausmelt furnace is operational. That’s helping to improve the throughput to increase in one converted operation. With the next line not expected until 2018, we now expect to be able to achieve the high end of our 2017 guidance. In addition, significant progress was made in the second quarter and reducing the secondaries in the inventories accumulated during the construction and commissioning phases of the smelter investment project. We continue to advance the smelter expansion project to increase the throughput of complex concentrate to as much as 370,000 tons per annum. The feasibility study was completed in the fourth quarter of 2016 and confirmed the robust project economics with an estimated improvement using capital cost of approximately $52 million. The scope of the project includes the revolving furnace, additional cooling and other upgrades for the Ausmelt furnace as well as upgrades for the slag mill area. Environmental and social impact assessment is underway for the project, public assets till draft environmental and social impact assessment document was provided during the second quarter of 2017 and we are currently working on addressing the comments we see. We anticipate moving forward with this projects subject to receipt of all permits and adequate commercial arrangements and funding being in place. Commercial discussions are underway since securing sufficient complex fee to fill the expanded capacity. Chelopech continue to perform well, gold production in the second quarter and first half was better than expected. This is primarily due to higher grades and predicted in the block model for several stopes in the mine plant as well as better recoveries resulting from ongoing mill optimization work. Over the balance of 2017, we expect gold rates to move closer to reserve average grades. Copper production was in line with expectations in the second quarter and first half of the year. Gold production guidance was increased to reflect the strong first half gold production performance. Cash cost in the quarter was $31.66 per ton the lower guidance of $32 to $36 a ton. We're continuing with our improvement focus in the mine and mill with the mine focus being on improving stope cycle times in a particular stope marketing rates and production drilling and direct lapping optimization. The mill focuses on faster and better response to the mineralogical variation of the RP and further plant optimization. In December 2016 we now have discovery of a new mineralized loan called Zone 153. The new zone is located near existing infrastructure in the upper levels of the mines western area and was discovered as part of the ongoing upper level resource development drill progress. Further drilling on this horizon and with delineated was the limiting the lateral boundaries however the zone is still open to the northeast and above the 440 level. 4,200 meters of drilling was completed in the second quarter on the 440, 460 and 505 level horizons to test the upward extension. Result the data indicate your breaks up in December figures of 520 meter thicknesses as we move out. Further drilling as plan for the third quarter of all in which to measure in indicated resource estimate will be completed. During the fourth quarter of 2017 Brownfield regional exploration activities were focused on the continuation of the underground growth program of the southeast retrofired zone as well as development plans for further follow up drilling in the Charlotte area prospect, 500 meters northeast in the central area of the Chelopech mine. Three Underground diamond drill holes totaling 1030 meters were completed on the southeast Breccia Pipe Zone on the Brevene exploration license in the second quarter. Revolves from this drilling demonstrate breccias hosting zones of sulphidation alteration and mineralization continuing East and Southeast beneath the Chelopech thrust fault over strength like our 1,500 meters, which is still open to the Northeast. Underground exploration drilling is planned to resume in the fourth quarter of 2017. To further test new targets identified using multi element spectral data interpretation. In addition service exploration on the Brevene exploration license; including gravity and magnetotelluric geophysical surveys, geological mapping, and soil sampling is in progress. Progress on the Krumovgrad project is continuing on plan. Main activity during the second quarter of 2017 was the ongoing execution of earthworks, which is proceeding in accordance with the project plan with first concrete pour occurring in the April is planned. The end of the first quarter of 2017 product construction of the project was approximately 26% complete based on installed quantities. Project completion remains on track for first concentrate production in the fourth quarter of 2018 at an estimated cost of $178 million and was $36.6 million has been incurred to date. Rate control is drilling commenced during June 2017 on the open pit. One RC drill rig and one diamond drill rig are currently operational. RC drill rig is currently completing a closed state orientation grid in order to allow determination of the optimal grade in drill, drill spacing for the entire upper zone and Wall zone of the open pit. We continue with our exploration program around Krumovgrad looking for satellite deposits to expand the resource state and extend the life of Krumovgrad project. Drilling of Kupel North target, 2 kilometers East of the Ada Tepe gold deposit, first intersection low sulphidation epithermal mineralization with high gold rates between 280 and 325 meters elevation of surface. In the second quarter of total of 1,594 meters diamond drilling was completed in four holes to further test Kupel North prospect although there were no significant mineralized intersections result confirm the presence of a zoned, shallow level hydrothermal system over a 1 to 2 kilometer were area. At our Timok Gold Project in Serbia, drilling around discovery of all Korkan West extended significant interval of near service oxide mineralization over approximately 175 meters, and also identified a new zone of shallow mineralization about 400 meters to the east. Extensive surface exploration programs are underway and all these prospects with drill programs scheduled to begin in September and continue to the end of the year. In July DPM entered into an option agreement with Khalkos Exploration Inc, 2.5 to a 71% interest and then were Malartic gold project located in the Archean Abitibi greenstone belt in the Malartic mining camp in Quebec. Malartic property consists of 90 win configures from planes covering in a area of 35 square kilometer a very perspective Abitibi geology. Also in July Sabina Gold & Silver company in which DPM holds 10.5% interest receive a positive recommendation from the mineral impact Review Board for its 100% on Back river project located in Nunavut, Canada to proceed to the licensing phase. In summary coming out this strong quarter we expect our valuation gap start narrowing as we start realizing the potential value of the Tsumeb smelter following the significant investments we have made over the past six years. The operation has stabilized now and we are now focused on steadily improving performance as we gain experience operating this very new facility. In addition with our strong balance sheet and fully funded Krumovgrad project will be closer to production start up we also expect back to contribute to a narrowing of our valuation. Our prospects for the future look good as we build also on a solid foundation of high performing; low cost assets fully funded near term low cost gold production growth and a growing pipeline organic growth projects with a focus on innovation and operational excellence. Thank you. I will now turn the call over to Hume who will review the finance results in 2017 guidance following which we will open the floor to questions.
Hume Kyle: Thanks for Rick. As Rick said we have a solid second quarter with adjusted net earnings of $0.07 per share compared to a loss of $0.05 per share in 2016. Adjusted EBITDA $31 million compared to $18 million fund from operations $26 million compared to $16 million. This increases were due gave primarily to the improved operating results. Tsumeb reflecting improved operating performance of timing of the maintenance shutdown and higher pull rates partially offset by higher operating costs to relating to labor electricity and contractors exciting For the first six months of 2017 we reported adjusted net earnings of $0.03 per share compared to a loss of $0.06 per share in 2016. Adjusted EBITDA $45 million compared to $39 million and fund from operations of $43 million compared to $46 million. The increases in earnings and adjusted EBITDA was primarily due to the higher volume of payable gold as a result of better than expected great higher tall rates and higher realize metal prices partially offset by higher Chelopech treatment charges due to a greater proportion concentrate delivers assume that, lower volumes in payable copper and higher cost per ton concentrates as a result of lower grade and higher operating expense as demand. From a fund from operations perspective in the first six months of 2017 is also impacted by certain hedges certainly during the period. In 2017 adjusted net earnings were also impacted by lower depreciation as assume at as the result of implementation in 2016 and adjustments estimate equalize. From a cost perspective, cash cost per ton of ore process in the quarter and first six months of 2017 were $32, 6% and 4% lower and in 2016 due primarily to lower input cost of certain materials and lower atrocity rates partially offset by higher royalties that sort of revolves the higher gold production. All in the same cost perhaps in the second quarter we've spend $1.4 up $97 relative to Q2 2016 due primarily to lower byproduct credits reflecting lower volumes of copper and concentrate flow partially offset by a higher realized copper prices and higher sustaining capital expenditures. Year-to-date all our sustaining cost pronounced at $700 to $7 up by $46 relative 2016 due primarily to lower byproduct credit by treatment charges and higher cash sustained capital expenditures partially offset by higher volumes of stable absorbed. As soon as cash was pronounced and that quarter was $417, down 17% relative to 2016 due primarily with higher though put partially offset by higher electricity contractor labor cost. On a year-to-date basis, cash cost per ton was $472 up 15% relative to 2016 due primarily with the higher operating expenses. Total sustaining growth capital expenditures for the second quarter of 2017 were $4 million and $17 million with an aggregate spend of $21 million up $13 million from a quarter's buying period to 2016. Year-to-date total sustaining and growth capital expenditures of $10 million and $33 million respective or an aggregate spend of $43 million up $26 million from 2016. These increases were largely timely timing related and due principally to the Krumovgrad gold project. Looking forward, the event with 2017 production and sales guidance to reflect the higher note production from the first half of 2017 and similarly lowered our cost guidance to reflect these changes. Gold production is now expected to be between 173,000 and 178,000 ounces up 9%. Copper production is expected to be between $35 million to $39 million up 7%. Gold and copper sales guidance was similarly increased. Cash cost per ounce of gold sold, net of by-products is expected to be in the range of $620 to $680 down 12% and oil and sustaining cost per ounce of gold is expected to be in the range of $780 million to $840 million down 9% Cash cost per tonne of complex concentrates smelted Tsumeb remains unchanged $400 to $485. On a capital expenditure front both capital expenditures have been reduced by approximately 9% to $103 million to $116 million due primarily to the timing and certain expenditures relating to the Krumovgrad project. Total estimating capital for construction project remains unchanged with a $178 million was substantially all currency exposure having been hedge and the project remains on track for first concentrated production and for the 2018. At June 30, 2017 we answered the quarter at approximately $295 million cash resources including our undrawn long-term committed revolver and revolve progression to a sample over growth projects. With that, I will turn it back to the operator.
Operator: [Operator Instructions] Your first question comes from the line of [Trevor Turnbull] [ph]. Please go ahead, your line is open.
Unidentified Analyst: Yes, I just wanted to follow-up on the CapEx that is still budgeted for the remainder of the year. At Krumovgrad, you adjusted slightly total amount that you expect to spend this year and I was just -- it's still a very large amount, can you just give us a sense of how that's spread over Q3 and Q4 and I calculated it, it's something over $80 million, is that still an appropriate number to look out for Krumov this year?
John Lindsay: Yes, it's John Lindsay; again $80 million is a very high it's probably closer to about you know, 60 to 70 for the balance of the year, probably be evenly spread through the next two quarters. We also like to carry on fairly sort of regular pace so and when we place it the mechanical contract in the third quarter and just started with that, so yeah 80 is a bit higher probably 60% of the I tell you.
Unidentified Analyst: Okay.
John Lindsay: And just one I think we spent about $35 plus million and for the year we are certainly guiding on a project somewhere between like $100 million and $110 million. So then the difference is what counts.
Unidentified Analyst: Okay. And then, a similar question just on Tsumeb, there is still a fair bit of capital left on the back for the year, can you just remind me and maybe I apologize if you've already mentioned, I was a bit late to the call. But what's the bulk of that being spent on at Tsumeb in the second half?
David Rae: So yes, the work has been going on at Tsumeb around the stability of operations we've been doing a lot of engineering work on the singles above help us to get increase stability with the next side of the project and a lot of this is around material handling, it's around upgrading the slide numbers near to among long-term of the expansion. So it's wisely on the ancillary there is around the plant as opposed to directed in the Ausmelt direct. So a more detail I don't think is appropriate for a lot of middle things rather than large IT. One of the thing I didn't mention of course continuing the final remediation but beside from the other changes. There is some activity now, having it coming on water management around the side as well. So it's got to pass it back to this we have them going to the left up there.
Unidentified Analyst: Okay. Thanks David. And I guess my last question is another Tsumeb question. We've seen an increase in asset sales seems to be in line with increased concentrate volumes, is that expected to be somewhat of a linear relationship, is there enough passage in market demand that as concentrate volumes continue to increase overtime that asset volumes would likely increase as well?
David Rae: So it is going to be directly proportional to the amount of concentrate that we are putting to in the size of concentration, we are not concerned with the demand right from the smelting rights that we see.
Unidentified Analyst: Great. Okay. Thanks guys.
Operator: Your next question comes from the line of [Don MacLean] [ph]. Please go ahead. Your line is open.
Unidentified Analyst: Good morning, guys. Good to see you the smelters carrying on. I guess the question I have is really more of a broad picture on the smelter, is it would you say this is representative of what you expect going forward as the smelters stabilizes I mean as if can you continue to replicate this result going forward?
Rick Howes: So a change in stability that we've had during the first half of the year particularly in the second quarter we expect to continue. So that is not a representative right in Q2. As Rick mentioned, we did have some oxygen plant limitations for a period of almost three weeks. So we would expect that but the main thing is more stable predictable performance, it's going to be the key. So we expect that to materialize inefficiencies as that will impact cost and we are very optimistic about what we see based on the changes due to the course of the first half of the year but its not.
Unidentified Analyst: Great, and just a little bit of granularity here for Q1 on CG you provide that reconciliation for the quarter-over-quarter, if you look through the list and the item in there called reduced deduction for estimated metal exposure, is that related to the smelter?
Rick Howes: It is.
Unidentified Analyst: If we look to that, if that majority or the components are related to the smelter, so that it looks like a three quarters of the shift compared to last year is all related to the smelter. The positive shift, is that fair?
Rick Howes: Yes, for the quarter definitely Tsumeb has a very significant impact on improvement on quarter-over-quarter performance.
Unidentified Analyst: Nice to see it actually show a positive contribution at that point, then just looking at the next step, the expansion, could you maybe Rick or David just talk about the discussions you are having about sources of complex seed you know, what that market is like? What's the price like? And maybe reference that to discussions of a couple of years ago when you were. This is all part of the broader picture of where the smelter was going. Now where do we stand now in that kind of market?
Rick Howes: So Don, just to answer that question, the market of course will change. If we were to increase capacity right now, the market could not unfold the current treatment terms, for what was not it could produce. However, there is going to be additional materials coming to the market more typical of what we see at the moment and we anticipate that that's going to be late in the decade, early next decade. And that's so, what we would do, if we would anticipate and time the expansion of the smelter. First, if we see those materials coming to market. So, what will happen is, if we expand it early, we would see a dip in the treatment terms for the affectively the variable cost material. I state that quite deliberately because as you realize on the treatment cost on the variable basis alone for this, not to given the fixed cost component. But we would like to see that over the next four to five years, so those treatment terms would pickup again. So, we've got options basically. We can expand early, we do believe we would have margins, but it may well be better to actually time that with the new concentrate feed coming to market over the -- let's say the 5 year window.
Unidentified Analyst: Speaking as an outside observer, smelter deliver a bunch of cash flow before another major investments take place in it. What we saw in Q2 is a delightful positive.
Rick Howes: I think just on that point on the supplement what David said is, we don't foresee major required capital to be spent to sustain the existing level of operation and as David said like the performance that we saw in Q2 is not the level that we would say is the base rate going forward. We fully expect to see incremental improvement based on existing infrastructure, over the next several third quarters and couple of years. And we're monitoring quite closely the new supply concentrate that would be suitable for the smelter and we expect that to come on at this stage. There could be some that comes on sooner than, the early part of the next decade, that's definitely a possibility. But there is also additional material, that is coming on in the 2020, 2021 timeframe. And we won't spend significant major capital to accommodate that, unless we have confirmed commitment in place to support it. So they'll go hand-in-hand with one and another and all the other work that we need to do to support that expansion is occurring, but we're not going to incur a major capital but unless there is a clear line of sight in place.
Unidentified Analyst: Well, the risk of stating the obvious, if you look at what consensus was as compared to what you delivered in Q2. The expectations are very low out there in the market. So if you can continue to deliver something like this by pushing out the expansion and continue to deliver profit and that's certainly one of the pathways to re-reading you are talking about.
Rick Howes: Agreed.
Unidentified Analyst: There is a little bit outside of the geographic region, you've been working in before. Can you just give us a bit of a flavor for strategy is there?
Rick Howes: You're talking about what's the Khalkos joint venture?
Unidentified Analyst: Yes.
Rick Howes: I think we've got a solid base in Eastern Europe and we still like Eastern Europe between Serbia and Bulgaria, which are going on. But we don't want all the rates in kind of one basket. So, we really want to diversify a little bit outside that region, and we think Canada is not a bad place to look.
Unidentified Analyst: Certainly, worked out well to be in a part of the equation, so good luck.
Rick Howes: Thank you, Don. Take care.
Operator: [Operator Instructions] Your next question comes from [Jeff Killeen] [ph].
Unidentified Analyst: Good morning Rick and team. Thanks for the time. So, to stick with the smelter, just wondering in terms of EBITDA, you seem to have a strong number this third quarter, about 10 million. I believe in the past year, you guided to once you hit the even run rate of about 30 million to 40 million from the smelter on an annualized basis. Would that number be maybe a little bit conservative based on what you are suggesting? Maybe a bit of a climb going into Q3 and forward?
Rick Howes: So, what we expect going into second half of the year, as you would have already heard. If you look at guidance and we are trending towards, my end of the guidance, it's going to be a good half of the year compared to anything we've seen in the last couple of years. However, there are some cost pressures that we're going to see coming through in the second half. So, it's going to be little bit more difficult to hit the sort of level proportionately with an increase in tonnage. So, I would at this stage, not state that we would expect to guide above that 30 to 40, a typical run rate with the type of consistency and continuity that we've seen. So I would at this point stick to that 30 to 40. I wouldn't think of breaking out. There are lots of things we are doing. But at this point, I think we're trying to be a little conservative and deliver on our promises with the smelter, rather than get a little carried away. We have seen an excellent performance in Q2, really was very good. With these, all the numbers had it worked out perhaps without the option fronts constraints funds. I think we could have had a good indication of the type of run rate that you can see. So more performance to come, I would say that the 40 is a good number right now, for a typical year.
Unidentified Analyst: That's fair and very clear. Then switching to Krumovgrad, just thinking about the CapEx spent. Seeing that number come down a bit. Can you comment David, is that things we're progressing a little bit slower than originally anticipated or is it more about thinking about just preserving the balance sheet until you have two up and running on a smooth rate. What was the nature of the change there?
David Rae: It relates more to the sequencing of activities. Our original plan hardly had the earth contract from awarding for a number of areas simultaneously. He was quite able to do that too efficiently. So, we did the plan and we know have been working more in a sequential manner, which push on some of the earthworks into next year. But I doesn't affect the overall timeline. We focused on finishing the earthworks in the process plan area, we've essentially done that. But it was a concrete contract in order do that and start, please work on schedule. So, it's really just been a rejigging of some of the earthworks activity that have caused that.
Unidentified Analyst: Then switching to Chelopech, Rick as you commented, good unit cost through the third quarter below what you are originally sort of guiding for the year. I think you aligned roughly a couple of factors why that was the case. Do you think seeing something below the $32 level on a ton, would be continuing through the second half into next year. Any color there would be appreciated?
Rick Howes: So, we will see particularly in the fourth quarter, a reduction in the gold production and possibly some limitation on the tonnage as we approach the 2.2 million tons per year cap that we have for the asset. So, you will see as a consequence of that being a dollar per ton increase much. We're quite confident in our ability to achieve the guidance. You know that's assuming, no further increases and we continue to saw increases, improvements in performance and we got an active program at the moment actually making a lot of headway and sort of stable improvement in terms of overall performance, this you can see within the recovery. So we have to performance on recovery, better than our expectation. As well as increasing efficiencies particularly around milling and floatation and that type of things. So, what I would say is that, because of the decreased gold, decreased tonnage, you're seeing slightly higher cost, I realize, it's open cost, it's not cost per ounce. So first time, you will see that go up slightly in the second half. But counter acting that we have ongoing cost and performance efficiencies. So I expect Chelopech's continue the performance the way they have with overall the steady reduction in those unit cost, but in the second half of the year. There will be some upward pressure.
Hume Kyle: The other thing to just to add to that is, currency. So having take that as true, but if the currency is the kind of remaining current level for the U.S. dollar. So we can further it out. Put a little bit of pressure on that cost per ton number. But probably in that environment, what we're also seeing is metal prices have moved upwards against U.S. dollar weakening. So, they tend to offset one another.
Unidentified Analyst: Then lastly, just as you mentioned on those recoveries. Can you give us a sense of what's driving that improvement and is that something that may continue?
David Rae: What's driving that performance at the moment. So Rick mentioned we have some work going on to understand minerality and making sure that we're ready for that with the appropriate condition in the mill. So that will be tonnages additions and so on, but on top of that, there are also simple things. So, another activity that's going on is to look at understanding where we have particular performance throughout the mill. We have the ability at the moment to granularly look at what the performance is, and assess on a day-by-day basis whether it's what we expect. And this has been a big improvement over the course of the last six to nine months. So, if there is an issue and it's affecting recovery, we can detect it early and correct it. And giving the half some excess capacity around the mill at the moment, we can time our maintenance activities and work on things like this, but things that are affecting recovering pursuit overall performance. So things like that, very simple items that are actually benefiting us. It's not just changes, the plan changes to the agent, it's actually simple things; things that are to performance being identified duly and correct.
Unidentified Analyst: Great, that's good to hear. That's it from me, thank you very much for your time.
Operator: We currently have no further questions in the queue at this time. Rick Howes, President and CEO, I will turn the call back over to you.
Rick Howes: Thank you very much for attending our call today, and wish everyone a very happy week and weekend.